Operator: Good morning, and welcome to the IAC and Angi Fourth Quarter 2023 Earnings Conference Call. All participants will be in listen only mode. [Operator Instructions] After today’s remarks, there will be an opportunity to ask questions. Please also note this event is being recorded. I would now like to turn the conference over to Christopher Halpin, CFO and COO of IAC. Please go ahead.
Christopher Halpin: Thank you. Good morning, everyone. Christopher Halpin here, and welcome to the IAC and Angi Inc., fourth quarter earnings call. Joining me today is Joey Levin CEO of IAC, and CEO and Chairman of Angi Inc. Similar to last quarter, supplemental to our quarterly earnings releases, IAC has also published its quarterly shareholder letter, which is currently available on the Investor Relations section of IAC's website. We will not be reading the shareholder letter on this call. I'll shortly turn the call over to Joey to make a few brief introductory remarks, and we'll then open it up to Q&A. Before we get to that, I'd like to remind you that during this presentation we may discuss our outlook and future performance. These forward-looking statements typically may be preceded by words such as, we expect, we believe, we anticipate or similar statements. These forward-looking views are subject to risks and uncertainties and our actual results could differ materially from the views expressed today. Some of these risks have been set forth in IAC's and Angi Inc.'s fourth quarter earnings releases and our respective filings with the SEC. We'll also discuss certain non-GAAP measures, which, as a reminder, include adjusted EBITDA, which we'll refer to today as EBITDA for simplicity during the call. I'll also refer you to our earnings release, the IAC shareholder letter, our public filings with the SEC and again to the Investor Relations section of our respective websites for all comparable GAAP measures and full reconciliations for all material non-GAAP measures. Now, I'll turn it over to Joey.
Joey Levin: Good morning. Happy Valentine's Day. I think I've done this call on Valentine's Day many times over the years, so I'm not going to try another bad Valentine's joke. Hopefully, you've all had a chance to read the letter and review the numbers. I want to start again by giving a very big thank you to all the teams across the businesses at IAC and the corporate folks at IAC, at Angi, Dotdash Meredith, MGM and Turo for making our job much easier this quarter. It's a heck of a lot easier to write these letters and get on these calls when the news is good. So thanks to everyone for making that happen. And it wasn't just one quarter. 2023 was a year of real hard work, changing our mindset, getting things done on behalf of our customers in the long-term health of our businesses. And it really paid off in this last quarter. So thank you all. Hopefully, some of you are listening in this Valentine's morning. And that's why Chris and I have a spring in our step this morning. It's not just Valentine's Day, that's performance. So, Drew, let's get the questions. Thank you.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Cory Carpenter with JP Morgan. Please go ahead.
Cory Carpenter: Thank you. I had two on Angi, maybe Joey first, could you just expand on the trends you saw in the fourth quarter and what led to the upside relative to your guide for Angi? And then secondly, would be helpful to hear your expectations on the revenue side for Angi this year and what's embedded within your '24 profit outlook? Thank you.
Joey Levin: Sure. Thanks, Cory. I'll take the first and Chris will do the second. The biggest thing that we've underestimated, and we've really continually underestimated this is, notwithstanding talking about it a lot, is service professional retention and the progress there has been tremendous. It's the result of a lot of things that we've done to drive satisfaction. First of all, targeting better service professionals with sales, giving them more compelling, committed offers, giving them a chance of success. Some things we've done on the demand side to improve the mix of demand to, to help their win rates, and that retention has continued to move up. And I think we haven't gotten as good at sort of modeling that upside and we look at it conservatively. But as that comes through, it makes each individual transaction for us, unit economics more profitable because we have more service professionals active in engaging with service requests. Related to that is, things like bad debt. We've been outperforming on bad debt all year because again, we have happier service professionals. The other thing is the margins in our paid marketing, and we've been expanding the margins in our paid marketing through, I think, a combination of smarter spend and some conversion improvements and obviously that's good for margins. And all year 2023 relative to 2022, we've been much tighter on fixed costs and costs in general. And so the combination of those things all came through on profit. And I think a lot of those trends are -- almost all of what I just said, I think is durable, sustainable for the future. So that's, I think, a good thing for Angi's margins.
Christopher Halpin: Yeah. Thanks, Corey. In terms of outlook for '24, we expect the revenue trend to improve over the course of the year from the declines you saw in Q4. But we also think it's important to retain flexibility in terms of revenue growth in order to do what we need to keep improving the foundation for user experiences, both on the pro side and the homeowner side. What does that mean in Q1, we'd expect the decline in revenue year-over-year to be roughly the same rate as we experienced in aggregate in Q4 of '23, up maybe a little bit better in Q1. The bulk of the actions that we took last year to eliminate low margin and low quality revenues really showed up in Q2 of last year. So the comps do get easier. Q1 will be the most challenging. We expect year-over-year revenue declines throughout '24, but expect that percentage to narrow as we lap the easier comps and also the fruits of some of the actions that Joey talked about and we're taking on demand side begin to show. But we're not forecasting return to revenue growth this year. On profitability, we expect to sustain the 10% plus EBITDA margins we demonstrated in this last quarter. When you normalize for the insurance settlement, we expect Q1 adjusted EBITDA to be up slightly year-over-year, despite the lower revenue over what we generated, to be up over what we generated in Q1of '23. And we'd forecast 10% to 12% adjusted EBITDA margins each quarter in ‘24. And that's how you get to the $120 million to $150 million of adjusted EBITDA in our guidance. Thank you, next question operator.
Operator: The next question comes from John Blackledge with TD Cowen. Please go ahead.
John Blackledge: Great, Thanks. Two questions. First, on Dotdash DDM digital, the ad revenue growth acceleration was better than expected. Can you talk about the key drivers of the acceleration? And then, for '24, how should we think about the trajectory of DDM digital ad revenue growth and EBITDA for the segment, just given the acceleration and EBITDA upside in 4Q? And then second question on free cash flow in '24, it looks like IAC will return to kind of be a big free cash flow generator. Any way to kind of frame free cash flow conversion of EBITDA in ‘24? Thank you.
Joey Levin: Yeah. I'll start, and then I'll turn it to Chris, again. Digital revenue growth was really all the key factors, traffic, meaning volume; price, meaning ad sales rate; premium sales monetization. And that was, I think a big win for the business and a big change in direction that we're pretty proud of. You can see that core sessions, which is over 80% of traffic grew 10% and continued to accelerate. I mean, that's a really nice trend to see. And the rate, if you just look at revenue per session up nicely, too. Premium sales is about two-thirds of our ad revenue and that was solid really, for the first time since the ad recession started in Q2 of '22. That's a credit to, again, performance of our product, but also the combined sales force just working well together and programmatic was excellent. We mentioned this in the letter, but we think our CPMs are growing more in the market and that's a combination of, again, technology and performance. And performance marketing, which has been a real source of strength throughout the year is, continues to do well. And this one thing, I want to add on performance marketing is in this area, performance where we're delivering performance marketing. The product that we're creating is something that our users really want from us. Users really want to hear from food and wine on what is the best air fryer and we deliver that. We deliver that unbiased. We deliver that with real work put into the product. And then that also happens to monetize well because it delivers performance marketing. But you do that across all the Dotdash Meredith brands and there's a huge opportunity there. And I think we've done a really good job, that was sort of central to the acquisition thesis with Meredith. And I think we've done a real good job executing against that, and it's shown up a lot over the course of 2023.
Christopher Halpin: Thanks, Joey. For '24, John, how we would think about overall trends in phasing is, we expect digital revenue to continue to grow for all the factors that Joey articulated. While print revenues will continue to decline, digital traffic and monetization have continued their momentum into the first quarter of '24. The ad market is fine, not great, not bad. And we think we're taking share. We definitely think we're taking share on traffic and also on some on revenue per session. So for the year, we'd expect 10% plus digital growth across '24. Conversely, print revenues declined 12% in Q4 of '23, and we'd expect similar declines next year, especially in the first half. May slow down a bit in terms of decline in the second half. When you look at our profitability, our guidance is $280 million to $300 million in adjusted EBITDA across all of Dotdash for the year versus $267 million in adjusted EBITDA in '23. But there's some layers to that. It implies 5% to 10% EBITDA growth. But what is really happening is strong growth and margin expansion continuing in digital and then offset by some profitability declines, which is what we'd expect. We've said our aim is to have our print EBITDA offset our corporate segment. But in '23, print actually significantly outperformed corporate by $24 million. In this current fiscal year, we'd expect that to be pretty much equal. So really all of that $280 million to $300 million of adjusted EBITDA guidance for this coming year is digital EBITDA, that pattern will be pronounced in the first quarter. We expect digital EBITDA to grow 40% plus year-over-year in the quarter, Print will be roughly breakeven on adjusted EBITDA basis in the corner, it's seasonally the smallest revenue. And also we've got some expense increases like postage flowing through. And then, finally, corporate expense should be roughly equal in the $9 million range to what we saw in Q4. For those looking year-over-year, just remember we had the $44 million lease impairment that flowed through in Q1 of '23 in corporate. When you roll all that up, adjusted EBITDA in aggregate will grow in Q1, but strong digital growth will be masked by declines in print. And then for the year, digital revenue should continue, as we said, at 10 plus growth, you'll see that margin scale, the incremental margins and the seasonal uplift, and we feel good about the momentum trend across the business. Your last question on free cash flow conversion across all of IAC, if I'm getting that right, we felt good about getting back to free cash flow generation last year. It's been a major point of focus by Joey, to all of us and we expect our conversion to only improve in '24 due to a couple of factors. One is aggregate EBITDA, as evidenced in our guidance should be up even with the sale of Mosaic, led by DDM and Angi. CapEx should stay in the $70 million range. Last year in that 15% conversion, that that you referenced, we purchased the land under our headquarters for $80 million, that's obviously not recurring. Interest, net interest expense should only improve with higher yield for the full year than we had in our cash last year, and then we've got $1.4 billion of NOLs, which is a substantial tax yield. So roll that all up and we would expect 50% plus of adjusted EBITDA to convert into free cash flow in '24 and look forward to continue to improve going forward. Thank you, operator. Next question.
Operator: The next question comes from Brian Fitzgerald with Wells Fargo. Please go ahead.
Brian Fitzgerald: Thanks. On Angi, thanks again for the comments on the shape of the year there. We wanted to ask more specifically on consumer demand. I think the service request decline was one of the steepest we've seen, since you've been prioritizing quality and profitability. Are you closing in on getting the customer acquisition engine where you want it, and beginning to scale that back up? Do you have line of sight for when that hits sometime in '24?
Joey Levin: Sure, Brian. I would say not yet in terms of line of sight, we are making real progress. We're, and I'll also just point out and I think we said this in the letter, monetized transactions are doing better than, than the trend line and service request because we are doing a better job with stuff that monetize as well and matching that better with service professionals. So that service request decline, while steep is not as steep to the business as it appears. But maybe it's helpful to talk about some of the things that we're working on and how those impact the business. I mentioned before, and I'll keep mentioning just because it's so important to the business, the service professional retention trends. And relatedly, the improvement in monetized transactions per SR. Those things improve our margins on the unit economics of any transaction. And they also are going to start to improve our marketing allowables, which means that we can go out in our paid marketing and buy more, buy better because we have better matching behind it. The sources of demand beyond paid marketing is really a combination of direct and SEO, and that's going to come from improvements in the product experience. We know what drives homeowner satisfaction and homeowner repeat rate, and that's better matching with service professionals and a better chance of getting a job done well. And so we are starting to drive those underlying metrics. We shared some of those stats in the letter. And we need that now to show up over time in direct and SEO. It's not going to be sort of an automatic where it just sort of flips on a switch. But it is something that over time with a better experience, you start to see those users coming in, coming in more often, coming in our free channels and referring their friends and family. That's what happens with a better product experience. That does take time for people to realize it. And the other thing I'll say is, that is what we saw happen in Europe. Europe has grown 20% the last couple of quarters. Europe is -- I don't know that we'll hold on to 20% exactly, but double-digit growth is very real in Europe, has been real for a while and that's a product of, I think, a better customer experience. Then the other thing just tactically is that the comps do get easier starting in Q2.
Brian Fitzgerald: Got it. Thanks, Joey. Appreciate it.
Joey Levin: Thanks, Brian. Drew, next question.
Operator: The next question comes from Jason Helfstein with Oppenheimer. Please go ahead.
Jason Helfstein: Hey. Thanks, guys. Good morning. Two questions on Dotdash Meredith, and then a quick housekeeping question. So what percent of ads or coverage does D/Cipher cover? And is there still risk of DDM's fall post cookie deprecation? And then how do you think potentially about offsetting that with like a higher mix of performance inventory. So on D/Cipher, and then how are you thinking about the impact of the Amazon retail media partnership? And then, thoughts about expanding that to other DSPs and retail partners in '24? And then I've got a housekeeping question after that.
Joey Levin: Sure, I'll start. A lot of those questions are related. So, first we have D/Cipher in about 30% of our direct ad campaigns since we launched it less than a year ago. And I think that's like 150 clients and the folks who are buying it are, as far as we can tell, very happy so far. No sign that people won't be repeating on that. And then, when we've done case studies and we've done a couple, one with a large well known beauty brand. We did a case study with Amazon and in both cases saw a meaningful lift relative to cookie based targeting. So, we have a lot of confidence in D/Cipher's ability to deliver for our customers. One of the things that will drive D/Cipher adoption is plugging into the pipes and the purchase path of DSPs, Demand Side Platforms, so that advertisers can access D/Cipher's targeting easier or access it in areas where they're already organizing their money and spending their money. So, Amazon is the first example of that but we hope and expect that there will be many more beyond that. We're obviously targeting the biggest ones first. Amazon is happening already. We're working on something with Google and then, we'll look to really integrate with every ad agency. And this is a thing that's a win-win. It's a win for the advertiser on performance. It's a win for the partner where their data combined with our data delivers better, more spend. And certainly, it's a win for us. If we can build into those pipes, which I think is totally doable, then we've got big opportunities for growth from here.
Jason Helfstein: And then just [Multiple Speakers] for Chris, the search and emerging and other were both weaker as far as I think the '24 outlook versus the street. I guess with search, is this the new baseline for search? Just any color and then are there any one-time factors you want to call out why emerging and other was weaker than the street as well? Thanks.
Christopher Halpin: Yeah. Thank you, Jason. On search, the business definitely experienced a tougher market environment at the end of last year. You can see that in producing $7.5 million of adjusted EBITDA in the fourth quarter. It's continued in the first quarter of this year, but we believe we've reached the baseline where we are and it should grow from here. That business has always done a great job of finding new areas in digital advertising to create value and create profit streams, that's our goal for '24. But hitting a baseline in profitability recently is what drives the $20 million to $40 million of adjusted EBITDA guidance. And that's really just a reflection of the software environment for that business. On emerging and other, it's a different story. Last year, that business in '23 generated $41.8 million of adjusted EBITDA. We disclosed a month ago that we'd signed a definitive agreement to sell our Mosaic subsidiary for $160 million in cash. That is expected to close very shortly -- that transaction. Last year, and this is going to be in our disclosure, Mosaic generated about $37 million of revenue per quarter and averaged about $5 million of EBITDA. So think of it as $20 million of the $41.8 million of EBITDA is being sold, closing this month. Additionally, and this is in the guidance section, in Joey's letter, we disclosed that in Q1 of this year, we expect to incur about $20 million of transaction expenses associated with that sale. That's obviously non-recurring but will hit our definition of adjusted EBITDA in the first quarter and for the year. So the emerging another guidance of zero to 20, half of that is non-recurring is brought down or it's impacted by $40 million related to Mosaic. Half of that is non-recurring transaction expenses, and then half of that is run rate profitability that we sold for $160 million. So on an ongoing basis, I'd think of it as a $20 million to $40 million adjusted EBITDA segment. And the bulk of that would be care. Does that help? Jason?
Jason Helfstein: Yeah. Thank you very much.
Christopher Halpin: Okay. Thank you. Drew, next question.
Operator: The next question comes from Justin Patterson with KeyBank. Please go ahead.
Justin Patterson: All right. Thank you very much and good morning. Just two on Angi. You've kind of alluded to it a little bit so far, but would love to hear just what the top two or three priorities are for the business in 2024 to just keep executing on the foundation that you've built. And then just around international, you've mentioned taking some of the learnings from abroad and bringing it domestically into the Angi product. Could you elaborate a little more just what that means and how long that could potentially play out. Thank you.
Joey Levin: Yeah. So I'd say, driving free and repeat traffic through better user experiences, obviously that has big impacts on our business on our P&L, and it's something that everybody in the Angi organization is thinking about. Second, and again, I'm -- broken record on this, but we'll keep going the health of the active SP network. That's the retention gains we've seen holding those, growing those. That's making sure pros are active and spending more and getting wins for that spend. That's better targeting within the sales to reach our SP network. And you can see that we've been delivering that through better -- through smaller sales force better targeted. But again, that all speaks to the health of the active SP network and the other one within, again, that same framework is starting to drive online, self-enroll for SP. And probably the third would be unit economics, which is certainly partially number one and number two in terms of demand and supply, but it's also driving things like conversion. We've had some big wins recently on conversion, but we still, I think, have a long way to go in terms of upside on driving conversion. We went through a period where conversion across most of our channels leaked a little bit and I think we can get a lot of that back. And so we're very focused on driving conversion in ways that are win-win for users in our platform. And when that comes through, that moves the unit economics. So those are the big three. In terms of international, one is, well, first you saw Jeff Kipp, who was running the international business, who did a great job getting all of Europe onto a common platform and winning user experience. Now he's in the U.S. and some others from his team are now also helping out in the U.S. We brought the head of performance marketing in Europe, is now running performance marketing in the U.S. And the product and marketing leadership from Europe and the U.S are now much more closely intertwined and interacting. The other thing and this has been a theme for us for a while is the -- and maybe it was easier to do this in Europe quietly than it is sort of in the U.S. with the public disclosure. But we did a lot to optimize user experience in Europe over short-term monetization for long term benefit. And that took a while to come through, but it has delivered in a meaningful way. And those trade-offs are trade-offs that we've been making in the U.S. and we expect to continue making in the U.S. And then the last one is, and this is very, very early for us, but the European business is almost entirely online self-enroll as opposed to a -- from sales force and Europe is almost entirely online self-enroll, and U.S. is basically the inverse. So we're working on a lot of the learnings there to see how we can drive more online self-enroll in the U.S. and rely less on phone sales and really focus the phone sales on the opportunities that warrant it.
Christopher Halpin: Thank you, operator. Next question.
Operator: The next question comes from Dan Kurnos with The Benchmark Company. Please go ahead.
Dan Kurnos: Great. Thanks. Good morning. Joey, just quick follow-ups on Angi. You've been talking about it a lot this morning. I guess just how do you balance the consumer and the user and SP experience if you start going back towards showing multiple SPs per service request? And to follow up from Brian's question, just are there any verticals where you've started to make a change or you're starting to see a return to SR growth? Just help us think about how you're attacking that a little bit more. And then, Chris, just on Dotdash on the margins, appreciate the color for the year. You've taken a lot of cost out of that business already. So I get sort of the cadence for '24. But what are we waiting for? Is it a revenue level like you talked about in the past, or do we need to just see premium continue to stay strong this year to kind of get that real sort of vertical inflection that I think we're still waiting for on Dotdash margins? Thanks.
Joey Levin: Okay. So first question, Dan, this is so far a win-win, meaning, when we are matching homeowners with more service professionals, we are driving homeowner satisfaction, meaning that promoter score and we think ultimately repeat rate. And we have been seeing ROI for pros increase. And while we can't measure this exactly, our thesis on this is more jobs are getting done on the platform as opposed to our platform. So while there may be more competition within our platform, meaning, if we were previously matching with less than one and now we're matching with more than one, I think, monetized transactions per SR was 1.27 in the last quarter. While we're matching with more and there is -- therefore more competition, we think more of that is staying in our platform as opposed to the kind of unknown competition for that same job that was previously happening off platform. So we want to keep driving that number up and we want to keep giving both homeowners and pros a better chance of success on the platform and we can see that play out in the numbers so far. So that balance that you're asking about is, we want to continue pushing it up. We can't push it up forever, but we want to continue pushing it up because we think it's a win for all on the platform. In terms of verticals, the short answer to your question, I think is, no. But again, the things that we're trying to do are focus on certain user paths and user experiences. So where a user comes in from and then what we do with that user as they move through our ecosystem. And that's kind of how we're organize is thinking about each of those paths into our ecosystem and making sure they deliver a winning consumer experience and a winning pro experience. And a lot of that, as you've seen in our revenue is modifying those experiences to reduce some revenue. But we are, as I say, if we want to talk about a region confident, Europe did that, and Europe has had real success. So that's the path in the U.S.
Christopher Halpin: Yeah. And thanks for the question on margins. You can see the scale in our margin structure by the incremental margins across '23 and particularly, in Q4 of '23 where we were at basically 90% incremental adjusted EBITDA margins on digital. For '24, if you think about it as 10% plus, but just for simplicity say 10% digital revenue growth that would be $89 million of incremental revenue. If you pick the midpoint of the $280 million to $300 million adjusted EBITDA guidance and you said that is equivalent to Digital EBITDA. You're talking about $47 million of adjusted EBITDA uplift. So there you have north of 50% incremental margins. Our investments in cost in digital are really content, especially video, which is performing well for us. And frankly, our partners want more video out of our brands. Also performance marketing and then investments in D/Cipher. And we can fund those in part through reallocation of costs from historical activities that are less strategic. So we feel pretty good about our ability to continue to manage our cost structure and feel good about incremental margins. We've said we expect 50% to 60% incremental digital adjusted EBITDA margins in this business and we may be able to do better, but we also want to keep the growth momentum going.
Dan Kurnos: Thanks, guys. Appreciate it.
Christopher Halpin: Thank you. Operator, next question.
Operator: The next question comes from Eric Sheridan with Goldman Sachs. Please go ahead.
Eric Sheridan: Thanks so much for taking the questions. Maybe two if I could. First, just following up on John's question earlier around Dotdash Meredith, in the letter you talked about the aspects of the business through the lens of premium, programmatic, and performance marketing. Can you talk us through some of the key learnings from 2023 and how you're thinking about the opportunity set through those three prisms for the business looking out to 2024 and beyond? And then second, turning to Angi, you talked in the letter about transacting SPs declining but improving from a second derivative standpoint and you're still shrinking the sales force. Can you talk about the balance between driving efficiency and return in the sales force and aiming that towards the optimized level of service provider growth? Thank you.
Joey Levin: Yeah. I'll do the last one first before I forget it. This is -- we, you're right. We have been reducing the size of the sales force over the last 18 months and the main thing is driving up productivity by eliminating unproductive calls. I think, we were making a lot of phone calls to a lot of pros that in the end didn't really make economic sense. So we've cut back on that meaningfully. [Technical Difficulty] That is a driver of the retention gains that we've seen, and that's a driver of the efficiency gains that we've seen too. We're also prioritizing prospects more smartly now. So we have data, we built a system last year to deploy against this. We have data now to rate prospects that we call and make sure that we're focusing the effort of the sales on the best prospects that are most likely to impact our business for the better, meaning most likely to stick with our platform and most likely to get jobs done well for our homeowners. That's also the type of offer we're pushing through our sales force. We're focused on higher commitment offers that we've known this for a long time, but I think there was a period where we deviated from it that we really have to give pros a chance to succeed. And so that means getting them to a higher commitment so that they can see enough volume through our platform to see the positive ROI. That's a little bit harder in the beginning because you're not going to make as many sales, but it's long term better because those sales are going to be more valuable and those pros have a better chance of succeeding with the platform. I think those are the big ones on the sales force. And now I forgot what the other questions were.
Christopher Halpin: I'll start.
Joey Levin: Okay. Go ahead.
Christopher Halpin: So Eric, on DDM, you hit on the three key digital revenue categories, drivers of premium, programmatic and performance marketing. The one top of the funnel, so to speak element though is traffic. So to talk about all the supports or drivers of revenue growth. Traffic is growing. You saw we're getting to stability on overall sessions and core is growing 10% in the quarter. Those trends have continued indoor strengthened so far this year. So overall traffic sessions, impressions increasing that then from an ad perspective either falls into the first is premium that we sell directly to our advertising brands and agencies. And then what's left over essentially is based to programmatic. Premium, it's been a tough market for us since we acquired DDM, since we acquired Meredith, really starting in May of '22, when the ad market fell out of bed. But we are seeing momentum there and as Joey said earlier, we're seeing performance by the combined salesforce and we'll keep that momentum going. Programmatic, the team has done a great job with our ad stack and continuing to optimize and improve the performance of our ads and our monetization. D/Cipher will definitely be a tailwind for Premium. And then increasingly as we do the connections into things like Amazon other DSP platforms, we think we'll increase our programmatic yield, which will be a tailwind there. And then finally, performance marketing. Neil and the team are exceptional performance marketers and you can see the acceleration quarter-to-quarter across the portfolio. And performance marketing going zero plus, 12 plus, 22 plus, 31. We expect it to continue. Comps will get tougher, but we think we're as good as anybody in that space. And then finally, we don't talk about it much, but licensing, which has been a drag on digital revenue due to some syndication partners and other dynamics is starting to get stronger. And we think some of our syndication partners can be a source of growth in '24. So they're all separate factors, but we feel good about the pace and executing on those this year forward to drive growth. Thanks, Eric. Operator next question.
Operator: The next question comes from Kunal Madhukar with UBS. Please go ahead.
Kunal Madhukar: Hi. Thanks for taking my questions. One on organic traffic, can you talk about what percentage of your total traffic on both DDM as well as Angi is organic? And then the second question relates to Angi, and you talked about it earlier in terms of the number of transactions per service request, the monetized transactions per service request being at 127%. So can you talk about in an ideal state, what is this percentage level that you are targeting and what does it mean for a revenue per monetized transaction? Thank you.
Christopher Halpin: Sure. On the breakdown of traffic, we don't provide that publicly. I think we've given some data on DDM in the past, but that we don't share. Obviously, organic is a very important and large portion of the mix, but we don't do the breakdown. In terms of monetized transactions per SR, it's a very good and fair question and the answer is we don't know yet. And it gets a little bit back to Dan's question from earlier. We want to keep pushing that up. We want to keep giving homeowners and pros a better chance of a job done well on our platform. There is a point that you would go too high, and so we don't want to go beyond that point, and we haven't found that point yet. So certainly room from here, but it doesn't go up to infinity. And in terms of revenue per SR, that's a little bit different. Obviously, monetized transactions per SR is going to be a very big driver of that. But also, I'll call it quality of the SR. But quality may be an unfair word. It's what mix it is. So a home remodel job is worth meaningfully more than a home cleaning job. The channel it comes through matters how sort of far down the purchase funnel the homeowner might be matters. How much information there is within the SR matters. And so those things, as we refine the service request can drive revenue per SR up. And one of the things that's been happening certainly over the course of the last year is, we've been both improving the mix shift and improving the quality of those SRs to help drive the win rate and that's something that we hope to continue.
Christopher Halpin: The only thing I'd add is just we've become increasingly focused on monetized transactions per SR, as an indication of the two-sided health of the platform and quality of the experience. So yeah, and there's no silver bullet to optimize that. Clearly having it greater than one is good because that's a better consumer experience. If it got to four, that's suboptimal for SPs because in terms of their experience. So, there's something in there. But the more that number increases, the higher the quality of SRs we're getting and also the higher the quality of our matching technology and of our SP base. So, we believe it has room to run, as Joey said, and it's a key metric to us in terms of the improvement in our overall two sided marketplace. Thank you. Drew, next question.
Operator: The next question comes from Ygal Arounian with Citigroup. Please go ahead.
Ygal Arounian: Hey. Good morning, guys. First, two questions. First on Angi, we've been talking a lot about the optimizations, but maybe just to dial in specifically on the user side, because about a year ago we started talking about, Joey started talking about bringing back a greater focus on the integration. I guess, between ads and leads and services and optimization around the user. How much is left there? Can you give us a little update specifically on the user side? And what users are seeing today that might be better than they were seeing a year ago and how much is left? And then on the broader IC business, in the letter, you talked about being more offensive on capital allocation with your individual businesses being in a healthier position now. And you also talked about in the letter the shift from goods to experiences and see that as kind of sustaining for longer around the MGM story. How does that fit into your M&A strategy and where you're focused on finding the right capital allocation? Thanks.
Joey Levin: Sure. So, in terms of the ads and leads integration, it's a really astute question and top of mind for us right now. You focused on the user side, which is where, as it relates to integration, we've actually made the most progress. And we have some big things rolling out shortly, actually along those lines in terms of, again, talking homeowner side. So, previously the algorithm for how a homeowner would match to historically ads pros and leads pros was complicated and I'd say somewhat illogical. And we now have improved the algorithm to the point which we're getting ready to roll out now, which we've been testing for, I don't know, six or nine months now, to better distribute and better match. And so a little bit of what we've been doing and seeing on the monetized transactions per SR is a result of what we've been testing there, so that a homeowner comes in and has the best chance of matching with the right pros, independent of whether they were historically ads pros or leads pros. And that is a very big deal for driving the business. On the pro side, which you didn't ask about, but is also important is I think there's still work to do on the integration. So we still have multiple apps, we still have multiple back-end systems. We're slowly but steadily migrating folks onto common systems, which will reduce our CapEx, reduce our -- or improve our speed of execution. But we still have a lot of work to do on that side of the integration. And it was work that was never done historically that was sort of hiding in the background, and that we are now tackling and is really important to get done, and I think will yield real value in terms of our operating efficiency. In terms of capital allocation and this shift towards experiences, those do go hand-in-hand, that is an area of focus for us, for sure. We believe this trend is a long-term trend, has been a long-term trend, and will be a trend for a while still to come. And we like the idea of businesses that benefit from that trend. So we've spent a lot of time recently looking in that area and looking deeply in that area, and we'll continue to do so. Nothing imminent on that, but that is certainly a focus of our capital allocation. And I think if we look at last year, we bought back $165 million of IAC, we bought another $100 million of Turow, we bought $80 million worth of land. And those were, I think, easy transactions in each case, given the data at the time. Now, with steady cash flow and the businesses, I think, in a more stable place, we're starting to look more opportunistically externally. Again, nothing to, nothing immediately on the horizon, but I think we have the position to do that now. Thank you, operator, let's have one last question.
Operator: Thank you. That question will come from Brent Thill with Jeffries. Please go ahead
Brent Thill: Joey, just a follow up question on capital allocation. I guess when you think about what you're seeing in the private market and asset prices, I'm just curious. Many have asked, like, why not been more aggressive last year when we've had this downturn? Are you starting to see asset prices go back up? Are you seeing things maybe not as buoyant as most would expect, given the public market recovery. Just curious in terms of kind of what you're seeing from your perspective.
Joey Levin: Yeah, Brent. We tried on a couple of things last year to be opportunistic that was more public market than private market. And while the valuations were down a lot to your point, the expected premiums were up a lot, and we couldn't quite get there on those things. The private market, I think is still totally irrational. If you want the real view. I think that these businesses did a phenomenal job, very smartly raising enough capital to be able to wait out markets. And I think there's still a lot of capital that has been raised to go after private opportunities, and that capital has a fuse on it to be deployed. And so the private markets need not be rational on those things. And so unless something is on the verge of running out of money, I don't think anybody has to face reality on valuations, and therefore it is not, I think, a productive place for opportunities. That is a very broad generalization, and certainly, there will be exceptions to that, if not many exceptions to that. But that's been our experience so far in looking at opportunities there.
Brent Thill: Yeah. Maybe if you can just the time -- one quick one on the emerging assets. Anything surprising you in the portfolio that we haven't talked about as it relates to the smaller emerging stories in the portfolio?
Joey Levin: Well, I'm glad you raised it. We didn't talk about Vivian at all, but Vivian is a good growing product and business. I mean, it's kind of amazing what the business has done. Continues to grow, continues to grow very healthily in a market that is shrinking dramatically. So -- not many people aren't familiar with Vivian, so let me just explain what they do. They're in matching nurses with jobs. They have focused primarily on the travel nurse category, which turned out to be a very big category, especially during the pandemic. Still is a very big category. But the growth in that category or that category shrank a lot post pandemic. Still bigger than what it was pre-pandemic but it shrank a lot. Throughout that whole period, Vivian has been growing. And the reason Vivian has been growing is because they have an incredible concentration of the available nurses in the market using the platform, actively using the platform, building profiles on the platform, looking for jobs. And while there's been some near term volatility in that market, with the pandemic and the need for nurses in hospitals and facilities, the supply demand imbalance is still enormous. Meaning there are many more facilities that need nurses than there are nurses available to do those jobs. And so Vivian, I think, is very well positioned there. Parth Bhakta, who runs that business, who founded and runs that business is a phenomenal entrepreneur and has done a wonderful job growing and building through that. And we think that business has a lot of potential. Where it goes from here, we'll see. But the execution so far has been really tremendous in a fun small business. Not moving needle for IAC. But since you asked about it, we do like that one in the emerging category.
Brent Thill: Thanks.
Joey Levin: Thank you.
Christopher Halpin: Thank you all for your support participation this morning. Operator, that it. Thank you. Bye-bye.
Joey Levin: Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.